Peter Podesser: Good morning, ladies and gentlemen. Thank you very much to all of you for taking the time here for the first time in this calendar year to join us for our presentation for the preliminary numbers and at the same time, also the publication and the presentation of the guidance and outlook for 2026. Together with my colleague, Daniel, we will present you the key elements of the preliminary unaudited numbers so far and naturally also look forward to our question-and-answer session after this. Let me start off with, let's say, a critical and quick look back. I think we are looking back at 2025 as a year definitely of challenges, but also a year of consolidation. And at the same time also, I think we have made good use of this period here for a further strategic alignment and focusing ahead of starting era of growth again. Back to growth, I think, is also what we see here with our last quarter of the year 2025, the fourth quarter with about EUR 40 million of revenue, also recording the strongest quarter during this year, also with decent profitability. At the end of the day, if we look at the growth drivers here in the closeout of the year, we are looking again at our industrial fuel cell business here with, let's say, the known end markets. And we are also looking at the European power management Besides, let's say, consolidation, I think it was a clear focus and we, let's say, allocated the right resources to further implement the long-term strategy during 2025, looking at 2 elements from today's point of view. The one is really expanding our international footprint, further the international presence, the customer proximity. But then at the same time, I think, again, investing into our competitive advantage, our competitive strength through technological leadership through new attractive products introduced into the market. Let me look into the international element first, expanding our footprint by establishing a more significant site in Orem Salt Lake City, establishing and preparing also for the local production in the U.S., again, driven by the need for customer proximity, the expectations of our U.S. customer base, but at the same time, actually also shielding us relatively well then against, I'd say, tariff and other trade hurdle implications over time with the local supply chain to be built up. Looking at, let's say, the assets that we, some time ago, also purchased here in Denmark in the hydrogen fuel cell business, I think we have turned this into an operating and profitable hydrogen fuel cell business with a customer base in critical infrastructure from telecom to data network operators. Well, and the third one, yes, the planned strategic investment here into our partner in Singapore, where we expect to close, let's say, in the near future, creating a regional hub for the further expansion in Asia, but also giving us and allowing us access to a fast-growing security as a service business here with government customers. On the technology end, I think apart from, let's say, the existing product suite, I think especially in Defense and Security, we have 2 new offerings that are already contributing that already have contributed to the business here in the low single-digit million format. The one maybe new for some of you, a defense power supply platform developed together with a French OEM here out of our power management business in Denmark for laser application portable and land or vehicle-based lasers, one of the key applications drone defense. We are showing this since yesterday as one of the news here also at the [ membrane ] tech in Nuremberg and have quite some positive feedback also from, let's say, not just the existing users, the existing customers, but also from potential new OEMs. The second one in Canada, we have invested a good 2 years of collaboration here with a customer developing what we call the EFOY ProShelter, an Arctic power and energy solution shelter-based for extreme climate and temperature exposure below minus 40 degrees C with extremely long autonomy between 12 and 36 months of autonomy. The first systems are already deployed in the northern part of Canada, the northern border also of Canada. Totally, we expect here from both product lines, a scaling effect already, let's say, in the running year with the existing customers, but definitely also new customers. And if we look into the Arctic energy supply, naturally, there are other regions in the world where we see already explicit demand. There is, with all of this, a structural shift in our business towards defense as well as the public and civilian security applications. If we look at all of this in 2025, this all added up to almost 50% of the total group revenue. With existing products scaling, but also new products now contributing to further growth, we see significant momentum in this field of the business naturally also against the known geopolitical situation. As per today, we are, I'd say, unfortunately seeing the fourth year of war ongoing here in the Ukraine. What do we expect here? Significant preparation for OEM programs in the defense sector, mostly auxiliary power systems either for vehicle or dismounted applications. But we are also looking at, let's say, the general hybrid energy solutions as a need for resilient and dependable power. So it's at the end, a combination of our fuel cells with batteries and wherever possible also with solar capabilities. We also expect a regional growth in this sector. And I think important also for all of us who have -- for all of you who have witnessed with us also these delays in programs in India. In the last recent discussions over the last couple of weeks here in India, we see a, let's say, a resumption of some of those programs happening also near time at least during the course of the year. The expectation here for this part of the business to increase to approximately 15% to 20% of the revenue seems realistic. But then also if we add the civilian security part, all the Security as a Service business, I think we also see 60% as a mark to be reached within this year of the total group's revenue as realistic sales, good products and solutions with attractive margins, and Daniel will go into this in a second. Apart from this, we also expect our industrial business to contribute and deliver, I'd say, organic growth here across the fuel cell as well as the power management business. We also look at the order intake there, we also see a return to growth with the fourth quarter recording about EUR 40 million of order intake, which was the highest intake of all quarters of last year. And we've seen also a dynamic development in the recent, I'd say, 2 months or also first part or the first part of 2026, we see several major projects out for decision within the foreseeable future. And based on all of this, we expect a very strong first half of 2026 in terms of overall visibility. If we now look into the sales and earnings of 2025 in a more concrete way, yes, we are seeing sales of EUR 143.3 million at almost the same level of 2024, 1% down. This is slightly below the lower end of the target corridor we had published also by November. I think also a conscious decision from our side not to overstretch, let's say, revenues and push projects here in the last weeks of the year simply at the cost of impacted margins. We also see this in the profitability of the fourth quarter and that we also -- we see the overall factors leading to this EUR 143 million not reaching the original plan for last year. If we look at the major deviations, I mentioned it already, we had to digest delays in defense projects in India impacting our Asian business. The overall uncertainty, also macroeconomic uncertainty, also delaying decision-making processes hurt us in the new business development in the U.S. Finally, I think we delivered still an organic growth of around 20%, which per se is nothing bad, but still behind the historical growth numbers in the U.S., but also below, I'd say, our own expectations as well. And the third element, currencies, functional currencies going against the euro here had also an impact metric on our euro-based group's revenue. With this, I think I would hand over to Daniel to lead you through the earnings part of the preliminary numbers.
Daniel Saxena: Good morning everybody. Thank you for joining the call. So neither wanting to repeat the last quarter's discussions or preempting that we will have. I think the major drivers when it comes to earnings this year were characterized by high losses from exchange rate translation and high cost for the implementation of our ERP system at the group level as well as investment in IT security. So I think this is the overall topic that we've discussed in the last quarters. And I think this is also the topic that we're looking at the fourth quarter with some slight changes and what seems to be a light at the end of the tunnel. You've seen our EBITDA, adjusted EBITDA, which is EUR 16.7 million, translating into a margin of 11.6% and our adjusted EBIT, which amounts to EUR 8.9 million, translating into a margin of 6.2%. So both of these key financial indicators are slightly above the higher end of our latest forecast, which we published in November. One of the reasons for the better performance in the first quarter than we anticipated. I think one of the reasons is the product mix in the first quarter, which was quite favorable. The second one is a good price implementation that we have, especially in SFC Netherlands as well as SFC Canada, but also SFC Germany. We had some, to a small extent, onetime effects, all of this leading to a higher -- slightly higher gross margin than we anticipated in the worst case in our last forecast in November. Also, what we saw in the first quarter is that for the first time in 2025, we had a balanced result from exchange rate losses, i.e., the losses were very, very low in the fourth quarter, which also helped. So there was not a significant negative impact from other operating expenses. And all over, keeping costs at a decent level also helped in generating the slightly above EBITDA and EBIT. We see that the margins are that is not a big surprise, below what we have seen in 2024. We're looking, as I mentioned before, at an EBITDA margin of 11.6%, still a double-digit one, but apparently away from the 15.2% that we saw in 2024 and also slightly lower of what we anticipated for the given reasons that we have discussed in the first 9 months of the last year. I think to make a summary and we'll discuss the results much more in detail once we publish our final numbers, it is a, I would say necessarily super happy result for 2024 -- 2025 apologies. we've seen in the fourth quarter some factors really driving our profits up again and most of it being apparently the gross margin, which goes straight into the EBITDA margin. So very short and sweet from me this time, I'll pass it back to Peter.
Peter Podesser: So also from my side. Now looking into, I think, the guidance and the outlook for the year. We, I think, can give a confident outlook based on facts for 2026 after, I'd say, the challenges I think we have to address last year, as mentioned just before. At the end, we see still a consistent increase of energy demand for dependable, resilient and sustainable energy, decentralized applications driving, let's say, our customers' needs -- at the same time, I mentioned this before, we have the structural shift in our business to the defense, public and civilian security business with the existing customers, existing products, but also new and scaling applications and some significant decisions still pending in this area. And regionally, we expect larger impetus coming from the European and Asian, especially Southeast Asia, but also a rebound in India, bringing a significant growth impulse. We are not neglecting the risk. I think we are still operating under a challenging overall macroeconomic environment. Geopolitics strikes to a certain extent, actually our customers' needs. We still see tariff risks and trade policy and trade hurdles being a factor to be, let's say, also assessed. But at the same time, we have, I think, also experienced a certain shielding in some of our core businesses and by localizing, especially in the U.S. and having already localized in India, we also see a shielding out of this. So overall, we expect a healthy growth. The corridor, we see, let's say, between EUR 150 million and EUR 160 million of revenue for 2026 with the Clean Energy segment growing slightly faster as also historically seen. And at the same time, we also see an overproportional impact on margins and improvement of margins. Daniel has mentioned also the effects already in Q4. We are consistently also expecting a proper implementation here, but also an operational leverage for growth. At the same time, we are not neglecting the risk here of precious metal prices developments and also currency risk. But the range we are seeing as a target range is an EBITDA adjusted between EUR 20 million and EUR 24 million for 2026. And on the EBIT adjusted level here on group's results, we expect the range between EUR 11 million and EUR 15 million as the realistic end rate from today's point of view. So after a year of consolidation, you see us here with, I would say, a sensible planning, a realistic view for risks and opportunities. But at the same time, we see ourselves back at the growth trajectory needed and doable. And I think we are also, let's say, as mentioned, seeing a number of initiatives that are, let's say, that have been worked on for quite some time also during the last year coming to a decision-making stage. So with this, I would like to conclude here and hand back to Moritz to open the floor for the Q&A session. Thank you very much.
Operator: [Operator Instructions] And the first question comes from Karsten Von Blumenthal from First Berlin Equity Research.
Karsten Von Blumenthal: Happy to hear that especially regarding margins, EBITDA margins, EBIT margin, you are back on track. It's better than I expected in Q4, and Daniel mentioned the reasons for this. My first question is regarding the U.S. business. Peter, you said that overall in 2025, you grew roughly 20%. As far as I remember, in the first 9 months, the U.S. growth was roughly 29%. So this is an indication that Q4 in the U.S. was relatively subdued. Is that right?
Peter Podesser: Karsten, Peter here. I think what we see here is some shifts between quarters. I think it is not something that we see a slowdown here. I think what we see in the what we saw in the third quarter was, let's say, the softest demand in the fourth quarter coming back again and also, let's say, a much broader customer base. Well, getting in starting the year with a significant dependence from our largest customer. I think we now have started to, let's say, see the distribution of the customer base becoming broader and broader. So at the end, what you also see naturally, if we look at the 20% growth, and this might be also some differential here, we'll look into this offline. This is naturally after currency effects, we are seeing, let's say, 19% to 20% growth.
Karsten Von Blumenthal: All right. That helps. And happy to hear that your customer base has broadened. Could you give us a bit more details regarding the state-of-the-art of your U.S. production site. So what has happened in the last few months? Where are you exactly? Could you shed some light on that?
Peter Podesser: Yes. We have, let's say, continued with the hiring, the training of people. We had them over here. We had them in Romania. The classical preparation work. All systems are in place. ERP system is up and running. And pilot production can, let's say, start any day at this point in time, I think we feel well prepared here for delivering, and this will be a major shift products for the U.S. now out of our Orem facility as of this quarter.
Karsten Von Blumenthal: Perfect. In this quarter, I'm happy to hear that. I remember that last time we talked about your relatively high working capital. That is nothing we have now discussed with the preliminaries, but have you perhaps a qualitative update on your working capital? Were you able to improve your position there?
Daniel Saxena: Karsten, so we've not been able to improve our position significantly in the fourth quarter. So overall, I think from our call, which we had in November, working capital is still at a decent high level. Most of the components, if you look at the inventory, there's nothing in there. I mentioned already in November. A lot of stuff that we have in anticipation of an increased business, which we've seen in the fourth quarter. But also with a strong quarter in the fourth quarter, you know that accounts receivables tend to increase as of the 31st of December. So the message is the 2 drivers, inventory and accounts receivables are still expected to be at a rather relatively high level, but we expect that now as the business increases and goes up again that at least inventory will go back to these levels. Accounts receivable will remain what it is with the growing business.
Karsten Von Blumenthal: That means we should rather look into, well, H1 figures to see you coming back to the levels you had, say, at the beginning of 2025?
Daniel Saxena: I think H1 is the right period to look at. Remember, some of the components, especially platinum has increased in pricing significantly. So that also has an impact on the working capital, i.e., the inventory, not saying that it is driving the inventory. We are managing inventory, but we still want to make sure that we have sufficient components in -- on our stock. And the second driver as a general driver of increased inventory is, of course, as we open up new manufacturing sites inventory will go up if we -- as we start ramping up certain sites, inventory will go up because in the beginning, and that's very similar to what we've seen in the last years with India and with the U.K. you have a higher level of -- or double level of inventory in the German as well as in the new manufacturing.
Karsten Von Blumenthal: All right. Thanks for that update regarding working capital. Perhaps one question to your surprisingly for me, surprisingly high EBITDA guidance for 2026 and the margin. So I assume better product mix and the costs, the one-off costs in 2025 will not -- will no longer burden you in 2026, say IT cost, ERP software, security, all this seems to be through. And yes, you go back to a decent margin level in 2026. Is that right?
Daniel Saxena: In part, it is right. But if you look at the expenses in a different way, when it comes to the gross margin range, we will see a bit of a wider than normal range with the gross margin development, which could be gross margin remaining stable to gross margin improvement. I think what we're dealing with, and I mentioned that about when I discuss the inventories, of course, you've seen that platinum prices have increased significantly in the last 6 months. So that has a result on our bill of material. We, of course, intend to pass on those costs to customers. Let's see how the platinum prices will develop that will have -- and let's see how we can pass on to our customers that will have an impact on the rate of the gross margin. You've seen the whole custom discussion having reopened just in the recent days also remains a factor that could have an impact on the gross margin one or the other way. And still exchange rates tend to be volatile also impact on the gross margin. So when it comes to the cost basis and the margin, the EBITDA and EBIT margin, gross margin has a direct impact and the range of the gross margin is a little bit wider. When it comes to sales and marketing, I think we'll see a slight increase of those expenses, nothing significant, mostly driven by the regional expansion and new markets. So where we would expect lower expenses in 2026 is the R&D expenses is R&D expenses expensed over the P&L, the R&D spending, which is the expenses plus what we capitalize will increase or we expect it to increase slightly. But what we also expect this year again is that the capitalization rate as we're doing new products and investing in new products will be higher than what we've seen in 2025, which will then lead to a lower portion of our R&D expenses hitting the P&L. G&A, we will still see high investments in the IT and ERP. So I would not say that those costs will go significantly below what we've seen in 2025. The probably remain at a very similar level over the entire year. What we do not expect or it's very difficult to forecast. I think this is one of the drivers in the margin is, remember, we have losses from exchange rate conversion reaching almost EUR 4 million. Of course, in our forecast, we do not consider losses at this high level, which has a huge impact on the EBITDA. Apparently, if the U.S. dollar and the Canadian dollar and the Indian rupee start depreciating at the same speed or the same amount as we've seen in 2025, that would have a negative impact on our EBITDA and our EBIT. For the time being and also based access to that we have. We don't see it in this amount. But again, that remains a risk. Does it help?
Operator: Then the next question comes from Usama Tariq from ODDO BHF.
Usama Tariq: Congratulations on the great results. I have a set of questions, 2 to be precise. Firstly, on the FX going forward. So there was a lot of expectations for negative FX impact this year. And of course, that has been realized. But going into 2025, could you -- you already indicated that the higher adjusted EBITDA guidance will somehow be affected from a relatively better FX. Are you going to actively get involved in hedging FX in 2026? And my second question would be a little bit more general in nature. That will be -- I see a lot of fuel cell peers in the last 6 months have had a really good run, Bloom Energy and [ SLS ]. They are primarily focusing the data center market. I understand that the power generation for the units for SFC is not as strong as required for data center, but is that also a market you are looking at? Or is that just totally not something that you target?
Daniel Saxena: Nice having you on the call. When it comes to FX, what I mentioned just to Karsten is that, of course, we are more conservative with our FX assumption for 2026, still based on what we see or what we saw as a consensus in the market from FX research. So a little bit difficult to really say we're going to end up within a year, but we would expect a slight stabilization. We don't see any gains from FX development. When it comes to hedging, so of course, we're looking here and there into some hedging of FX may enter into some hedging. I cannot exactly tell you yet because hedging has become very expensive. And then if you look at it, it has 2 impacts, right? So of course, the hedging will if FX decreases or depreciated, improve your EBITDA, but it will decrease your cash flow. Hedging those positions have become very expensive given the volatility of the exchange rate and also the exchange rate that we are dealing -- so you will see on the one hand side, and you know this much better than I do, a positive effect on the EBITDA and a negative effect on the cash flow. That's why if you look at the cash flow also in the 9-month cash flow, we don't see a huge impact from the FX expenses because most of them are noncash long-term intercompany financing. So let me look at it really on a basis what the cost of hedging is and what the benefit of it means actually also in terms of what is the cash impact and the cash impact will not be low. Remember also, we're looking at IFRS 18 being introduced mandatory from 2027 so they're going into details from 2027 with the IFRS, you'll see the presentation of AX results differently from what we see it right now, but I'll comment on that a little bit later.
Peter Podesser: And then I come back to the data center question. Well, just recently, we had a very, very -- and I personally also was there with the team, a very interesting meeting with the largest data center provider in the UAE -- when the CEO there showed me the 32 diesel gensets here in the backyard as the backup power, it was obvious they are looking for a more sustainable solution there just replacing the conventional backup power. We are looking at data center projects also in India as India wants to become a hub here also on a global scale. It's one of the initiatives. But I would be really negatively surprised if we could not secure our first project, although recognizing that there are power levels for the, let's say, largest sized data centers that are beyond also fuel cell capabilities even of other players. I think there is a good starting point here at midsized data centers, and we are working as we speak on...
Usama Tariq: Very grateful. So if I understand correctly, please correct me if I'm wrong, data center as a general opportunity is for you and you are actively working in that. And you wouldn't be surprised if you get some order in 2026 this year from the data center end market.
Peter Podesser: Well, we are making all efforts and focusing naturally on the higher power range on our hydrogen-based product range here on this as one of the upcoming markets. And I can confirm what you reiterated.
Operator: Then the next question comes from Robert-Jan van der Horst from Berenberg.
Robert-Jan van der Horst: So I have 2 questions. The first one is, could you just give me maybe a quick update on what you -- or maybe just a little bit more color on what you expect from the Indian defense program. When I understood correctly, it was in part delayed and in part, funds were repurposed for drones. So do you expect it to come back significantly this year? Will it stretch out more? Or will the volume overall decline? Just an idea where we are at now. The other question is regarding the one-offs for the IT and ERP projects. Could you give me a rough estimate how high the effect was in 2025? So that would be my 2 questions.
Peter Podesser: This is Peter. Talking about the Indian defense programs, as I said, we just recently returned from India having a yearly kickoff there and also the review of the forecast, we are expecting, let's say, some of those programs now again resuming and restarting. And I think we also got a good data point in the discussion with also a major defense player there in India in the defense vehicle business. They had to suffer from the same fact that funds were repurposed and literally was said basically, well, for 9 months, we didn't get an order and now it starts again. So I think we were not the only one suffering from it, which for us also was a validating point to say to clearly state, yes, the business is intact. The business case is intact that the moment the programs resume, I think we will see a rebound here. Also in conjunction with this, we did a very conservative planning, call it, a sensible planning in our Indian defense business. And I think we have all the reasons to believe that we will, I'd say, have a good chance to come in above the current planning.
Daniel Saxena: So when it comes to European IT and one-offs in 2025, I'd say that we're probably looking at anything between EUR 2.6 million and EUR 3 million one-off -- that does not reflect the entire investment that we had in IT and ERP system. So a certain portion of that will be recurring, especially stuff like licenses, like maintenance, which will be higher going forward on a recurring level. I think one-off really mostly in consulting, mostly in implementation of software components is, like I said, anything around 2.5 million to 3 million.
Operator: Then the next question comes from Michael Kuhn from Deutsche Bank.
Michael Kuhn: I'll start with, let's say, the visibility. You mentioned good visibility, especially into the first half. Should we make out of that, that, let's say, the guidance as we look at it today is front-end loaded? And also in that context on backlog conversion, I think backlog around 80% at year-end. How quickly will that translate into sales? And let's say, what major projects you're working on where you would foresee entering it into the backlog over, let's say, the next 6 months with the realization of the project in the same year?
Peter Podesser: Michael Well, I think if we look at the planning as we have it right now, I think we see as, again, repeating myself as sensible and I think realistic, also taking a learning also of the experience of last year. And then if you look into the order intake over the last couple of quarters, yes, you see a consistent increase here over the last 4 quarters here, culminating in Q4 with over EUR 40 million, but still my, let's say, the backlog alone, I think, is not that decisive part. As you rightly said, it's about the conversion. We have also significant parts of the business, especially on the clean energy fuel cell side, industrial fuel cell business where you usually have, let's say, an in-quarter conversion. And therefore, I think it's always a combination also as you rightly concluded, it's the backlog, but it's also the project pipeline. And as mentioned before, we are seeing some significant decisions here being worked on to be expected and painting really for the foreseeable future, talking about, in some cases, weeks, some cases, maybe, let's say, something in the next quarter. On the defense side, it's about, let's say, OEM decisions, but also regional programs. the rebound also we discussed it in the Indian programs. their fiscal year starts on 1st of April. So that's something expected, let's say, for the second half of the year and the summer. But then also on the civilian part of the business, and as I said, it's a combination. It's, again, a solid and robust growth in the civilian part of the business, but it's, let's say, a more dynamic view and a more dynamic situation in defense and public security. And if you give us a couple of weeks and we watch out for, let's say, we together watch out for what we can, let's say, execute here, I think we get, let's say, even more visibility beyond, let's say, the first half of the year.
Michael Kuhn: Understood. Then on the U.S., with the production about to ramp and first product to be delivered soon, will that do you think influence the behavior of your U.S. customers by, let's say, removing tariff uncertainties and delivering a U.S.-built product. So should we expect a, let's say, more dynamic buying behavior in the U.S.?
Peter Podesser: Well, I think definitely, it is going -- it has an impact because it's one of the concerns voiced to us by customers at the end, having a key component coming, let's say, from Europe, be it from Germany or Romania as we have it right now is seen widely as a risk per se in the supply chain. We are removing this. And naturally, they can also, let's say, reduce, let's say, their cycle times, be it an advantage for us or not. But at the end, for the customer, it's a good thing. We are able to, let's say, satisfy their demands also on shorter notice without, let's say, longer planning, including logistics times. So overall, definitely, does it eliminate all impact of uncertainty looking at the last couple of days, I do not think we can take this general conclusion here. But long term, it's the right path. They want us to be there. They want it made in the U.S., and I think that's what we have to deliver apart from not ignoring, but apart from, let's say, the uncertainties out of the trade policy of this administration.
Michael Kuhn: Yes. No, fair point. One more on business mix. You mentioned 15% to 20% defense. And then did I get that rightly, another 60% on top from security/surveillance?
Peter Podesser: No, this is, let's say, additive. So the 60% is including also the military part of the business.
Michael Kuhn: Okay. Understood. And then last question on this product you mentioned being deployed in Canada with the very long working times and temperature resistance. Is that also something thinkable for, let's say, Eastern European or Scandinavian border protection, where there's a lot of talk going on, obviously. And could that be a, let's say, significant use case going forward?
Peter Podesser: That is definitely our expectation here. As I said, we have a clear path of scaling here with our existing customer. And that's, let's say, at the end of the day, a NATO force, and we have naturally made use also of the presence of many of our customers and decision-makers here during the Munich Security Conference to get this out and show it as a solution here for all the other NATO and non-NATO forces. So it is -- what is the application? It is uninterrupted dependable power here with -- with low to no temperature and noise signature. And at the end, it's for sensing surveillance and data transmission and operating periods between 12 and 36 months in really remote locations. Right now, yes, along, let's say, a new marine let's say, logistics course in the northern part here of the Arctic based out of Canada, but naturally there are, let's say, all other locations also suitable and Scandinavia and, let's say, Northern European and Northeastern European locations, too. So scaling this year with the existing program, but deployment in other regions is exactly the plan.
Operator: Then the next question comes from Malte Schaumann from Warburg Research.
Malte Schaumann: First question is a follow-up on the defense part. Could you remind me what the defense revenue share was in 2025?
Peter Podesser: Around 10% due to the drop also in India and expectation this year is there's a healthy chance to at least double this. But the part is at the 15%.
Malte Schaumann: Okay. And what do you expect to be the main drivers beside the recovery expected to happen in India? So can you provide maybe some more color on what are the major building blocks for the increase?
Peter Podesser: Absolutely. Yes, we are expecting some, let's say, OEM decisions, but we are also expecting some, let's say, decisions out of regions where we have had, let's say, a lot of business development and a lot of project-based business, new projects are up for decision. So it's OEM and regional expansion. And we have developed those 2 new products there. We talked about Canada a minute ago, but also on our power supply offering. We have this product out there in a fast scaling laser platform, portable land-based vehicle-based main application drone defense, and it is, let's say, the scaling with this OEM. By the way, we have approximately, let's say, 400 of those units already out there in the field. And naturally also other OEM users here in terms of laser technology on the defense side. So it's a combination. It's not the one big project that makes it all. So we also think this is, let's say, taking risk out. And as I said, in India, I think as of April, we expect, let's say, to come back to, let's say, a growth curve.
Malte Schaumann: Okay. Good. Defense alone, the growth you expect in defense alone is broadly covering the full revenue range you expect for 2026, which would then imply you expect basically no growth in all the other areas. So maybe you can add some more what do you think about that thought? Do you see any opportunities in security applications, industrial applications, et cetera. So with a strong growth in defense, so then the guidance does not look very ambitious regarding all the other businesses.
Peter Podesser: I think naturally, there is also an element of learning in there out of last year's experience where at the end, let's say, an add up of multifactors led us to miss the original and I would say, justified ambitious plan. I think we have, let's say, taken as I think as a reaction to this, a more conservative, but still, let's say, ambitious growth plan, not neglecting that still, let's say, risks are out there. We know how fast delays in defense projects occur. And half a year, let's say, goes by without the decision is not something unheard of. So at the end, I think the truth is somewhere in between. We see still, let's say, the organic growth in the industrial business, fuel cells and power supplies intact. We had an impact in Canada on the power business last year with a single project being, let's say, not decided. But overall, also there, we saw, let's say, a very stable environment with, let's say, which is also the underlying assumption here. But yes, if everything adds up in a positive way, we will be all happy to look at this and think about, let's say, the guidance again.
Malte Schaumann: Yes. Good. Then on the gross margin again, you mentioned several factors, Daniel. But if I got you right in the end, you expect flat to slightly -- potentially slightly increasing gross margin. Is that right?
Daniel Saxena: Yes. Looking at from comparison to 2025, which is right now still the gross margin, but it's not bad. I would expect a flattish gross margin on the lower end, but I will still look on the upper end gross margin which increases. As always, remember that the rough guidance we're giving is gross margin can go up on an annual basis, anything between 1 and 1.5 percentage points. So we will not see any jumps on the upper side, which is beyond that.
Operator: Then we have one follow-up question from Usama Tariq from ODDO BHF.
Usama Tariq: Just one follow-up question for 2026. How do you see the balance sheet going into 2026? Do you still expect it to be net cash? Do you think you will take some debt financing? Any pointers there would be really nice.
Daniel Saxena: So when it comes to the balance sheet, yes, I would see still net cash. I would still see us to be cash generating. doesn't need super complicated math. If you look at the 9 months, if you see the results of the fourth quarter from a purely operating cash flow, we are positive on operating cash flow. The key liquidity driver of consumption is really working capital. So that's where the cash is getting consumed. If you look at CapEx, we do not expect any huge CapEx programs in 2026, similar as we've seen it in 2025. So to get to the point is, yes, still net cash positive. when it comes to leverage and financing. Let us see, we do have certain credit lines in place and see how we can draw them down given the current liquidity that we have, we may not use that excessively. And then, of course, we still have the variable. We are still looking and that is not a surprise at potential acquisition and/or investments into strategic partners. As always, those processes are something where you can say could happen, could not happen. There's a lot of variables out there. But of course, we're confident we would not go into the exercise we believe that there would be a positive result or outcome of such a transaction. And depending on where and how we do a transaction, we could look into leveraging the purchase price of such a transaction.
Usama Tariq: And if I may just add on it on the acquisition part, what geography would you be targeting? Would you still be looking towards an aggregator? Or is it still -- or something on the technology side? Is there something in the pipeline? Or do you really are just looking currently? Any pointers there would be great.
Daniel Saxena: Well, it hasn't really changed the strategic focus of what we have done in the past and we've been looking for. First of all, yes, it's a regional expansion and getting deeper into certain region markets. Of course, North America remains on our radar screen. Let's see how the overall environment develops. Of course, Southeast Asia remains on our radar screen. The same thing here, regional penetration getting quicker into the market and/or into certain sectors. We're also looking or maybe looking at some opportunities in Europe. And then from a technology point of view, also, yes, we are looking at potential higher power opportunities on the technology side where the technology complements our and PE portfolio. There are assets out there, which we would consider to be attractive. So yes, we are looking, but we're looking purposefully. And when we're looking, we are also engaging into discussion being understood that we invest prudently and looking at opportunities very cautiously. But yes, the opportunities are out there, discussions and you see that if you look at our transaction expenses that -- which are good level of the transaction expenses is a good level indicator of the level of engagement.
Operator: Ladies and gentlemen, this was the last question. I would now like to turn the conference back over to Dr. Peter Podesser for any closing remarks.
Peter Podesser: Well, yes, again, thanks, everybody, for your time, your interest. As always, I'd say, Susan, Daniel, myself, we are available for any direct interaction and follow-up. Yes, you see us here, I'd say, confident for 2026, optimistic based on facts. But at the same time, I think you also see us inspired and motivated with the dynamic environment, by the dynamic environment we are experiencing here in the first part of this year. And we will be happy to report on further milestones as soon as we have them. Thank you very much.